Operator: Good day and thank you for standing by. Welcome to the Q1 2021 CyberArk Software Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Erica Smith, Vice President of Investor Relations. Please go ahead.
Erica Smith: Thank you, [Amy]. Good morning. Thank you for joining us today to review CyberArk's first quarter 2021 financial results. With me on the call today are Udi Mokady, Chairman and Chief Executive Officer; and Josh Siegel, Chief Financial Officer. After prepared remarks, we will open up the call to a question-and-answer session. Before we begin, let me remind you that certain statements made on the call today may be considered forward-looking statements, which reflect management's best judgment based on currently available information. I refer specifically to the discussion of our expectations and beliefs regarding our projected results of operations for the second quarter and the full-year 2021. Our actual results might differ materially from those projected in these forward-looking statements. I direct your attention to the risk factors contained in the company's annual report on Form 20-F filed with the SEC and those referenced in today's press release that are posted to CyberArk's website, as well as risks regarding our ability to actively transition the business to a subscription model, the duration and scope of the COVID-19 pandemic, its related impact on global economies, and our ability to adjust in response to the COVID-19 pandemic. CyberArk expressly disclaims any application or undertaking to release publicly any updates or revisions to any forward-looking statements. Additionally, non-GAAP financial measures will be discussed on this conference call. Reconciliations to the most directly comparable GAAP financial measures are also available in today's press release, as well as in an updated investor presentation that outlines the financial discussion of today's call. As we outlined at our investor day that we held in March, beginning in the first quarter we changed the revenue and cost of revenue presentation of our P&L to increase visibility into our subscription transition and the long-term focus of our business. The historic breakdown of this new P&L presentation can be found in the appendix of the Q2 update deck which can also be found in the quarterly results section of our investor relations website. A webcast of today's call is also available on our website. With that, I'd like to turn the call over to our Chairman and Chief Executive Officer, Udi Mokady. Udi?
Udi Mokady: Thanks, Erica, and thanks everyone for joining the call today. We hope you and your families are safe and healthy. 2021 is off to a great start. We successfully completed the first quarter of our active transition to subscription. We are thrilled with our execution and are well on our way towards transforming CyberArk into a fast growing recurring revenue company with a comprehensive SaaS portfolio of solutions.  A few financial highlights. Total revenue was $113 million in the first quarter, ahead of our guidance with our new subscription revenue line growing 180% over last year. In addition, it was great to see our recurring revenue reached $76 million or 68% of total revenue. We also generated more than $5 million of non-GAAP operating income and $31 million in free cash flow both ahead of our expectations. Our revenue outperformance was particularly rewarding given that our subscription booking mix exceeded expectations at 51%, much of our success this quarter was again from the strength of our SaaS solutions. Given the increase in ratable revenue from subscription, we believe that annual recurring revenue or ARR can be used to evaluate the strength of the underlying business. Our ARR reached $288 million, up 41% year-over-year and even more impressive is that our ARR from SaaS and subscription together grew faster than 250%. ARR subscription mix and recurring revenue demonstrate the momentum in the business and the incredible demand for our identity security platform, which is centered on PAM. At our Investor Day in March, we outlined four pillars that will create long-term value for CyberArk, our customers, partners, and shareholders. I will use the same framework of growth, subscription transition, innovation, and profitability to walk through our Q1 results. Let's start with growth. Positive, secular tailwinds and excellence in execution are driving our strong growth trajectory. Identity Security is at the center of every major industry tailwind, including digital transformation, zero trust, hacker innovation, and compliance. Digital transformation and the explosion of technologies applications and automation tools are not only blurring the line between a privileged user and a workforce user, but also between human users, applications and bots. For customers, this is creating a sense of urgency for cybersecurity. Enterprises have moved beyond the emergency initiatives and build-out of 2020 and into strategic execution of comprehensive security programs. And as a result, the flight to trust we signed the fourth quarter, continued in Q1. In the wake of SolarWinds and the Microsoft breaches enterprises are embracing zero trust and an assumed breach mindset. They are looking to security partners who have comprehensive, measurable security solutions, and deep domain experience. As we look at our business, these industry dynamics are making identity security more relevant than ever before. To drive our growth, we are executing well against this opportunity with our land and expand strategy. Early this year, we aligned our business across privilege access management, and our two speedboats, DevSecOps and Access. This strategic move has further accelerated our momentum with an immediate impact as seen in our Q1 performance. The increased focus also contributed to another record quarter for pipeline generation across the portfolio, which will fuel our growth throughout the year. We continue to see customers embrace our SaaS solutions with privileged cloud and endpoint privilege manager among the fastest growing offerings in our portfolio. Enterprises continue to run in a hybrid world resulting in strong demand for our on premise PAM offering, where more often than not in a subscription package versus the perpetual purchase of the past. I'm hearing from customers that one of the ripple effects from SolarWinds is that Chief Information Security Officers increasingly recognize the criticality of Access, DevOps, and cloud entitlements as key risk points that need to be secure, which is contributing to our record pipeline growth in these areas. Our investments in customer success over the last year are also paying dividends as the pace of engagement with existing customers remains at an all-time high. A number of customer examples from the first quarter demonstrate the power of our strategy. In a highly competitive deal, a wholesale distributor expanded with workforce identity as part of a strategy to modernize access, security employees, and deliver operational efficiency. This customer recognizes that the explosion of SaaS applications is extending privileged access to all employees, making security equally as important as a seamless user experience. I love this win for two main reasons. First, the customer embraces our identity security strategy; and second, it demonstrates the increased sales velocity from our SaaS portfolio. This wholesaler realized fast time-to-value, ease of use, and unparalleled scalability after buying privileged cloud in just the fourth quarter of 2020, paving the road for Workforce Identity expansion just a quarter later, it was a great win. The SolarWinds Orion attack was a catalyst for an existing Telco customer to significantly expand its PAM deployment and reducing its attack surface with secrets manager, a key win against a competitive DevOps platform. A large grocery store chain is following our Blueprint methodology as part of its identity in access management modernization. We are protecting this customer’s robotic process automation or RPA strategy with secrets manager will also significantly expanding its PAM protection with the rollout of privileged cloud. Our new business progression and close rates continue to improve in the first quarter. We landed over 170 new customers and about 70% of these wins were subscription deals, up significantly from about 57% just last quarter. We won logos across all industries, including retail, global government, and financial services. As examples, a U.S. based retailer is replacing an incumbent PAM vendor that couldn't scale to meet the requirements of its hybrid environment. We're helping this customer secure across Google Cloud and Azure, as well as all servers and databases in its on premise environment. A consulting organization was looking for an Identity Security partner committed to delivering innovation that would evolve in step with its long-term strategy to secure its AWS and Azure multi-cloud environment, the DevOps pipeline and its machine identities. In the first step of its CyberArk program, the company is rolling out privileged cloud and secrets manager to secure homegrown applications, as well as other software like Tenable’s vulnerability management solution. As we look ahead, the sales capacity we added in 2020 has ramped to productivity and we are growing the team to keep pace with the accelerating demand environment. Our partner ecosystem of advisory firms of ours and CQ Technology Partners is further extending our reach and will help us drive scale in our go to market. Moving on to the subscription transition, feedback from customers, partners and our own employees has been incredibly positive. The levers we introduced earlier this year are working, creating both push and pull in the market. Customers were already pulling a store subscription in 2020. And the new packages we introduced in mid-January combined with the maturity of our SaaS offerings have accelerated that motion. The sales incentives, as well as the deal desk and deal scoring are helping push CyberArk towards our goal of becoming a subscription company. This is reflected in our new pipeline generation, which is overwhelmingly geared towards recurring subscription bookings heavily weighted towards SaaS. Geographically, the Americas had the strongest mix of recurring bookings, which impacted our recognized revenue, which Josh will discuss. We are pleased with the subscription traction in EMEA and APJ, both trending ahead of our expectations. The subscription transition is reducing friction in the sales process, and increasing our cross-sell activity as you saw in some of the earlier customer examples. The team is already shifting towards delivering transformative value and building deeper, more enduring relationships, which will generate higher lifetime customer value. I couldn't be more pleased with where we are coming out of the first quarter in terms of the transition. Now, moving on to our innovation pillar, where we continue to step on the gas around our innovation engine. In the first quarter, we made considerable progress evolving our portfolio into a unified, comprehensive identity security platform centered on privilege. We've integrated multi-factor authentication with our privilege portfolio to provide our customers with significantly enhanced security controls. Customers are embracing zero trust frameworks, and while our just in time capabilities are solving enterprise used cases today, we are continuing to enhance our offering. Our investments in innovation that help customers secure the cloud environments are paying off. Large entitlements manager is building momentum. Our tighter integration between our Conjur secrets manager solution and privileged cloud offering is strengthening our customers security posture as they move more and more applications to the cloud, and adopt cloud native approaches to application development. Our CQ partnerships are extending our reach, demonstrated by recently being named Partner of the Year by Red Hat. We will be rolling out exciting offerings as we move through 2021, and I can't wait to preview many of these at our upcoming customer and partner impact event in June. Finally, we are making strategic investments this year to drive growth, innovation, and scale, and Josh will discuss our profitability pillar in more detail. I wanted to emphasize that we have not changed our approach to Investment and building a durable business model is part of our DNA, a guiding operating principle of CyberArk. We remain committed to delivering profitable growth and returning to the rule of 40 once we are through the transition period. As I look into the remainder of 2021, we have major industry tailwinds driving our business. In the wake of the recent cybersecurity attacks and the accelerating pace of hacker innovation, our solutions are a business imperative. And we are seeing a heightened sense of urgency across PAM, Access, and DevSecOps. Our go to market machine is executing well. We are extending our leadership position and delivering innovation at a record pace. We are well on our way towards transforming the business into a fast growing subscription company, and our cloud solutions are leading the way. With our strong execution in the first quarter, we are in a great position to unlock tremendous value for us, our shareholders, our customers, and our partners. I will now turn the call over to Josh, who will discuss our results and outlook for the second quarter and full-year. Josh?
Josh Siegel: Thanks, Udi. Before we discuss the details of the quarter, we wanted to remind you that we posted slides to the website that will be helpful as we walk through our results. The appendix of the decks contains the historic breakdown of the revenue and cost of revenue lines and the new presentation of our P&L that we discussed at our Investor Day in March. We are making this change to the P&L to increase visibility into the success of our subscription transition and the direction of our business. So, moving into our results, our strong business momentum continued in the first quarter. We were pleased to beat our revenues, operating income, and EPS guidance, particularly given that we also exceeded the expectations with a percentage mix of subscription bookings. Total revenue was $130 million with a 51% subscription booking mix, up from $107 million and approximately 20% subscription booking mix in the first quarter of last year. Subscription revenue reached $25 million and represented 22% of total revenue in the first quarter, increasing 180% from $9 million in subscription revenue, and 8% only of total revenue in the first quarter last year. As anticipated, given the shift in our sales motion towards a recurring subscription business model, perpetual license revenue did decline and was $27 million for the quarter. Our combined maintenance and professional services revenue was $61 million, with 51.6 million from recurring maintenance and $9.8 million in professional services revenue. During the subscription transition period, it is important to evaluate additional metrics that provide increased visibility into the momentum and health of the business. They include total recurring revenue percentage mix of bookings from subscription and annual recurring revenue.  In the first quarter, total recurring revenue reached $76 million or 68% of total revenue and growing 41% from $54 million and increasing from the 51% of total revenue in the first quarter last year. Our recurring revenue growth is driven by strength of our subscription bookings from SaaS and on prem subscriptions, as well as our continued strong maintenance renewal rates for our mission critical software. The mix of subscription bookings as a percentage of new license bookings is an indicator of pace and the success of the transition. In the first quarter, the mix was about 51% of new licensed bookings. That's compared to the mix in our guidance, which assumed only 47%. This compares to about 20% in the first quarter last year. Please note, as we move through the transition, the subscription mix will level set all deals to an annual value, including the perpetual bookings. The headwind created by the mix of bookings was about $11 million in the first quarter. Taking the headwind into consideration, our first quarter total revenue would have grown by about 16% year-on-year. It is critical to keep in mind that the headwind is calculated based on the annualized bookings mix year-on-year. At March 31, our ARR was $288 million growing 41% year-on-year from $205 million in the first quarter last year. On organic basis, excluding the contribution from Idaptive, our annual recurring revenue still grew faster than 30% in the first quarter of 2021. Another important metric that we kept watch closely is the growth of just the subscription portion of ARR, which includes our SaaS and on prem subscription contracts. We were pleased that our subscription portion grew faster than 250% year-on-year to about $88 million, representing over 30% of total ARR at March 31, that's up from $25 million or 12% at March 31 last year. This clearly highlights our tremendous success in growing our recurring subscription business. Our ARR growth this quarter was driven by both existing, as well as new logos. Geographically, the business continues to be well diversified. The Americas generated $61.3 million in revenue, representing 54% of total revenue. And for the year-over-year comparison, the Americas again, had the strongest percentage of SaaS bookings during the quarter, which lowered our recognized revenue in the period by about $8 million. EMEA grew by 40% year-on-year to $38.3 million. APJ generated $13.1 million in revenue that's increasing 39%, compared to the first quarter of 2020. All line items of the P&L will be discussed on a non-GAAP basis, please see the full GAAP to non-GAAP reconciliation in the tables of our press release. Our first quarter gross profit was $95.5 million or an 85% gross margin, that's compared to 87% in the first quarter last year. Our gross margin is being impacted by two factors. First, the headwinds from our subscription bookings mix; and second, the increased cloud expenses related to delivering our SaaS services. Moving down the P&L, we continue to make disciplined investments in the business. R&D grew by 39% year-on-year to $25.4 million as we invest to deliver innovation. Idaptive expenses contributed about $2.1 million to the year-on-year increase in expenses. Sales and marketing increased 20% to $53.8 million as we expand our go to market engine across all geographies. G&A increased 37% year-on-year to $10.9 million to scale the business. In total, operating expenses for the first quarter increased 27% to $90.1 million. Our operating income was $5.4 million in the quarter. Operating Income was lowered by about $1.2 million net from foreign exchange rates. As a reminder, the approximate $11 million revenue headwind had a corresponding impact on our operating income. Taking the headwind into account, our operating margin would have been approximately 13% in the first quarter of 2021. Over 70% of our operating expenses are related to headcount. We executed well against our aggressive hiring plan to invest in the business ending the first quarter with 1,808 employees worldwide. Of our total employee count, 832 employees are in sales and marketing. Net income was $3.8 million or $0.09 per diluted share for the first quarter. In the first quarter, free cash flow was $31.3 million or a 28% free cash flow margin, driven by strong collections from our fourth quarter bookings. This cash flow contributed to our strong balance sheet and we ended the quarter with $1.2 billion in cash and investments. We also increased deferred revenue by 23% year-on-year to $260 million. Our SaaS deferred revenue grew by over 300% to $48 million, compared to $11 million at March 31 last year. Turning to our guidance, for the second quarter 2021, we expect total revenue of $111 million to $119 million. We expect a non-GAAP operating loss of about [$3.5 million] to non-GAAP operating income of 3.5 million for the second quarter. We expect our EPS to range from non-GAAP net loss of $0.11 per basic and diluted shares to net income of $0.06 per diluted share. Our guidance also assumes 39.6 million weighted average basic and diluted shares and 40.7 million weighted average diluted shares. We are assuming $2.5 million in taxes for the second quarter. This guidance assumes about 55% of subscription bookings and a revenue and profitability headwind of approximately $9 million for the second quarter of 2021. Our guidance for the full-year of 2021 reflects the strength of our pipeline, our overall opportunity, and an assumption for the mix of our bookings. We expect total revenue in the range of $484 million to $496 million. While we are maintaining our revenue range because of our stronger than anticipated total bookings and our higher subscription bookings mix in the first quarter, as well as our robust subscription pipeline growth we are increasing our subscription mix assumption to about 57%, and our revenue headwind increasing to approximately $45 million. This compares to our prior guidance, which assumed a mix of 55% and a $39 million headwind to revenue. Our upward adjustments to the mix percentage and headwind represent an increase in our bookings outlook for the full-year illustrating the strong first quarter performance, as well as our confidence in the robust demand environment and execution of our strategy. We expect non-GAAP operating income to be between $20 million to $30 million. We expect our non-GAAP net income per diluted share to be in the range of $0.39 to $0.64. For the full-year, we expect about 40.9 million weighted average diluted shares and about $10 million in taxes. As Udi mentioned, and we discussed at Investor Day, we are not changing our investment philosophy and are planning for profitability levels to snap back quickly after we exit the transition, which we continue to expect to be in between 8 quarters to 10 quarters, so exiting in the fourth quarter of 2022 or by mid-2023. In terms of free cash flow, we were thrilled with the outperformance in the first quarter, which reflected the strength of our perpetual bookings in the fourth quarter and our strong cash collections for maintenance. For the full-year 2021, considering the seasonality in our business, we continue to anticipate that our cash flow margin will be in-line with our non-GAAP net income margin. Our performance in the first quarter strengthens our conviction that we are making the right level of investment to drive growth and innovation in 2021 and beyond. I will now turn the call over to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Saket Kalia with Barclays. Saket, your line is open.
Saket Kalia: Okay, great. Hey, good morning, guys. Thanks for taking my questions here.
Udi Mokady: Hey, Saket, good morning.
Saket Kalia: Hey Udi. Hey, good morning. Maybe for you first, Udi, can you just talk about your thoughts on new entrants into this market? And maybe just specifically to call out Okta and what your thoughts are on maybe, you know, the puts and takes for a broader identity platform like Okta, you know, entering the PAM market, any thoughts on that?
Udi Mokady: Sure, sure. Look, we are the pioneer and the leader in a very hot space that's growing in importance. I think [recent breaches] really highlight the importance. So, we’ve expected more competition in entry. We've always been like, I like to call it, productively paranoid about our leadership position and hence invested in continued breakaway innovation to further accelerate our leadership. But I think specifically, the journey we took for identity security gives us a major advantage.  We think that coming from PAM where we put security first, and following the proliferation of privilege across both human and non-human infrastructure is giving us major advantages as we expand into identity security and looking at it as a security problem. I talked to enterprise customers all the time, and they won't compromise on security when it comes to the keys to IT kingdom and the keys to the Cloud kingdom. And so, we're going to continue to break away and lead with the broad expansion into identity security, but with PAM as a major advantage, and at the center of it.
Udi Mokady: Got it. That makes sense. Josh, maybe for my follow-up for you, thanks for some of the detail on the ARR components in the quarter. I was wondering if you could just zoom into the maintenance piece just a little bit. I believe maintenance is a bigger piece of that ARR pie, if you will, how did that component of ARR maybe compare versus your expectations? And they need to keep in mind for sort of modeling those two pieces through the rest of the year. 
Josh Siegel: Yeah, hi, thanks for the question. You know, I think maintenance came in about where we anticipated with regardless came in about 70% of the total [ARR]. I think on the flip side, we saw ARR come in a bit better than we anticipated with that 41% growth really coming from the he SaaS and the subscription component, which was now 30% of that [ARR] and that's compared to 12% if we look back in the first quarter of last year. So, you know, we're pleased with that. And so, I think on maintenance, you know, we're getting the right renewal rate that we expected to get, but really the bonus is coming from doing better on the SaaS side.
Saket Kalia: Very helpful. Thanks, guys.
Josh Siegel : Thanks Saket.
Operator: Next question comes from the line of Sterling Auty with JPMorgan. Sterling, your line is open.
Sterling Auty: Yeah, thanks. Hi, guys. So, I'm just curious, what kind of pushback you may have gotten. So the mix in subscription was better than you expected, which I don't think comes as a surprise to many of us that have watched a lot of the transitions. But where you got pushed back? Where did it happen? And why did it happen in terms of customers not wanting to choose subscription, or SaaS?
Udi Mokady: So, hey Sterling, first of all, we're excited with the strong start to the subscription transition, I think it beat our expectations. And so, as a first quarter, that is chewing on some old pipeline, you can see we have some old pipeline that we expected to continue to sell as perpetual, but very pleased with how the mix has outperformed and very pleased with how it’s looking in the current full-year, you know Q2 and full-year pipeline. So, I would say, no pushback, but actually better than expected transition and really the way we wanted to start this year. 
Sterling Auty: Alright, great. And Josh, maybe one follow-up for you. I want to make sure I understand the full-year EPS guide. Has anything really changed in your expense outlook, or it's just the mix, going more subscription that would potentially weigh a little bit more on EPS?
Josh Siegel: Yeah, hi, Sterling. It's really actually even below the operating income line. It's really around the taxes. As we kind of finished Q1 and we saw what happened in Q1 and we were forecasting taxes for the rest of the year. We, you know, when you're hovering at the lower operating mark – at the net income levels, then we actually end up with a higher tax rate around globally. So, we just adjusted for the tax – for our projected tax provision.
Sterling Auty: Perfect. Thank you.
Josh Siegel: Thanks Sterling.
Operator: Your next question comes from the line of Fatima Boolani with UBS. Fatima, your line is open.
Fatima Boolani: Good morning. Thank you for taking my questions. Josh, I wanted to start with you on the Americas performance. So, appreciate you quantifying that headwind for us as it relates to the model transition that seems like it's more concentrated in the Americas, but even if we adjust for that headwind, we're still looking at a sort of flattish performance in the Americas, relative to much better performance in your other [geographic theater]. So, wondering if you can talk to any other marketplace dynamics, or go to market motion dynamics that would explain that flattish year-on-year growth adjusted for the headwind?
Udi Mokady: Yeah, Fatima, Udi here. I’ll start. So actually, when we looked at it, and you touched it, we are actually excited to see that it is the faster mover in the transition with the heaviest weight done on SaaS. I would say some specific elements of this quarter. I mean, Americas is coming off a record 32% growth in Q4, and it was the fastest of the region. And so we're, you know, we're pleased with where we are in the Americans, especially when we see the great pipe, the great start of Q2, and are optimistic for the rest of the rest of the year.
Josh Siegel : And I guess I would add there – I would just add on specific in terms of markets. You know, last year, in the first quarter, we had a very strong federal spend that was out of cycle. And, you know, that didn’t repeat in this quarter. So…
Fatima Boolani: Very helpful. Josh, since I have you, any high level modeling points or expectations, you could point us to as it relates to the subscription revenue and subscription ARR mix between SaaS and on prem, and to the extent the performance this quarter is changing your mix expectations specifically for that category? And that's it for me. Thank you.
Josh Siegel: Yeah, thanks. You know, we're still seeing a really SaaS heavy on the [ARR]. So, you know, we're still using kind of a 2:1 ratio of SaaS versus on prem subscription. And, you know, at this point, I would continue looking at it that way.
Operator: Your next question comes from a line of Rob Owens with Piper Sandler. Rob, your line is open.
Rob Owens: Great, and thanks for taking my question. As we look towards Q2 in ARR, noting that you bought Idaptive a year ago, any puts and takes around how we should think about growth? And I know you said, you were over 30% from organic perspective this quarter, are you sticking to that kind of guardrail? And then number two, I’ll ask them both up front? Given it's been a year since the acquisition, maybe an update on how Idaptive was doing? Thanks.
Udi Mokady: Sure, I'll start with the latter question on Idaptive, I think we've invested the last several quarters on really integrating it to create one plus one equals 11 with being part of connected into PAM and part of the identity security portfolio. And we've also invested in putting an overlay sales effort there. So, we are – it's still early innings for Idaptive standalone, but we're seeing it and some of the examples I’ve given really played well in the cross-sell, upsell motion with existing customers and also as a new landing front for us as the tip of the spear as Matt called it in the Investor Day. And so it's an early young speedboat within CyberArk, but is really taking off well. And Rob, you know, on the [ARR] growth question, you know, we're still very much looking at 30% growth for the year on [ARR] and, you know, we started off nicely on the first quarter with 41%, 30% plus organically and we see that continuing for the year.
Rob Owens: All right, thanks.
Operator: Your next question comes from the line of Hamza Fodderwala with Morgan Stanley. Hamza, your line is open.
Hamza Fodderwala: Hey, guys, thank you for taking my question and good morning. I just want a question on, sort of the Salesforce productivity ramp. I know that, you had just started to really introduce incentives around selling fast, you know, with the Salesforce in Q1 and had some new product announcements. I'm wondering, you know, how do you see that ramp sort of progressing, particularly in the back half? And, you know, how should we think about, sort of ARR growth in relation to that?
Josh Siegel: You know, hi, Hamza. Yeah, you're right, we really continue to ramp our capacity on the sales front into the first quarter. And, you know, we have, you know, still six to nine months sales cycles. And we're excited about the, you know, the kind of the record continued record growth that we have in pipeline and will be continuing to expand our sales, our sales teams, globally. And, you know, going, you know, going into, you know, each of the quarters, you know, through the second half of the year, they do take two to three quarters to ramp. So, we always anticipate future growth by bringing them on board earlier. And I would say that, when we look at the big hirings that we did in H2 of last year, in Q3, Q4, and certainly the ones from the first half of last year, we already are seeing them really fully productive at this point. And we actually saw a nice increase in productivity into this first quarter from our sales teams. And I think it has to do with the ramp up that we did last year, on the sales teams. And I would add that, like I mentioned in my notes, they're really on board with the SaaS and [subscription]. I mean, almost all of the reps have subscription deals in their pipe, some have only subscription deals in their pipe and that's why I noted that we're very pleased with how we kicked it off from the beginning of the year.
Hamza Fodderwala: Got it. And just maybe a brief follow up for Josh, I was wondering if you could maybe give more concrete, sort of inorganic contribution from Idaptive, I think last quarter, the organic growth was somewhere in the high 30% range, was that was that fairly consistent this quarter as well?
Josh Siegel: The organic, the inorganic impact on revenue from Idaptive? What’s your question?
Hamza Fodderwala : On ARR.
Josh Siegel: Oh, on [ARR]. I think the impact for was, again, I said it was about 41% growth, and it was about 30, just over 30% growth, if it – from an organic perspective.
Hamza Fodderwala : Thank you.
Operator: Your next question comes from the line of Gregg Moskowitz with Mizuho. Gregg, your line is open.
Gregg Moskowitz: Okay. Thank you very much for taking the questions. Maybe to start with Udi, how was, I know you that call that one interesting customer example, but more broadly, how is adoption of privileged cloud this quarter among both mid-market and enterprises? And how do you see this evolving over the course of 2021?
Udi Mokady: Thanks. Yeah, absolutely a super strong quarter for privileged cloud. I would say that we're beginning to see the lines blurring into how big and how large enterprises can be in adopting it. And even some very – even financial verticals, and very large accounts. And so it's becoming the larger force within new PAM, within new PAM deals is landing in privileged cloud.
Gregg Moskowitz: All right, that's great to hear. And then Josh, can you tell us roughly what AAM was as a percentage of either revenue or licensed bookings, and just kind of how that compared to your expectations?
Josh Siegel: It absolutely hit against our expectations. And actually, now when we look at revenue, you know, with our much larger percentage coming from SaaS and subscription and so forth, it becomes a little bit less relevant when looking at the product mix on a revenue because there's now a change for whether it's happening perpetually or subscription basis. But I will say that from a bookings perspective, AAM absolutely had a nice growth rate year-on-year and absolutely contributed at the levels even at the levels that we anticipated even a bit higher.
Gregg Moskowitz: Okay, great. Thank you.
Operator: Your next question comes from the line of Brian Essex with Goldman Sachs. Brian, your line is open.
Brian Essex: Great, thank you and good morning. Thank you for taking the question. You know, Udi, I had a couple for you. You know, you mentioned in your prepared remarks a flight to trust and maybe if you could just update us in terms of how customer buying patterns may have evolved as you enter this year? I think last quarter you noted you know, a number of customers that came on at abbreviated attach rates or maybe didn't do end-to-end solutions kind of trued up their deals. But what is the tenor of buying pattern in 2021? What you're seeing in the pipeline? Are you getting more end-to-end and higher attach rates now? And is that more prevalent on the SaaS platform?
Udi Mokady: Yeah, it's definitely more prevalent on the SaaS platform, where we see the progression in the cross-sell move faster. I think the commentary last year or earlier in the year, we talked about the customer kind of looking to do the basics as they transition to work from home. And now we’re seeing them much – be much more back to their strategic programs. We already saw that in Q4 and it continued in Q1 and commentary and things we’re seeing in deal cycles, both related to SolarWinds and also related to being back on track is that they’re looking to do a deeper programs, whether – like in the commentary really following our Blueprint when it comes to add-on, and looking at multiple products and solutions, but also in new customers, we’re seeing them be more strategic about going deep in PAM and other areas in Identity Security. I would say that the average deal size is up and SaaS deal size are similar to perpetual - the historic perpetual deal size, which is great.
Operator: Your next question comes from the line of Andrew Nowinski with D.A. Davidson. Andrew, your line is open.
Andrew Nowinski: Great. Thank you and good morning, everyone. So, just wanted to start up with a high-level question and you touched on the SolarWinds and Microsoft Exchange attacks, I’m just wondering if you could, maybe put a finer point on how they may have impacted if at all the Q1 results? And how they may have had an impact on your pipeline going forward?
Udi Mokady: I think the really important news is that they created a long tail for CyberArk. It’s one of those events that has multiple years of return where if anybody need a reminder that privilege, no matter how do you dissect that and attack and no matter how they first entered a network or cloud environment, what are they looking for, lateral movement, escalation and it’s all about credentials and movements. So, we see it creating the long tail of awareness and the field is feeling that, both in PAM and also as we’ve expanded PAM into Identity Security because there are other examples there in those attacks of attacking other elements of identity. And then specifically, there were some examples in Q1 and I gave the example of the Telco, where it helped reinforce or accelerate a deal or at least expand the deal size into a more strategic buy. But I think the important thing is the long tail we get.
Andrew Nowinski: Got it. Thank you. And then when I look at your new customers you added it looks like over 170 this quarter. I was wondering if you could just break out how many came by way of Idaptive purchases and how your new logo adds performed excluding the Idaptive customers you added relative to your expectations?
Josh Siegel: I’ll jump in and when we looked at – actually I think on the new customers the overwhelming majority were from our core PAS and actually, a large percentage of them were coming in off of our subscription and our SaaS business as well. I think 30% of – if we look even back over the whole last year, 30% of the incremental ARR that we’ve added has come from new customers and probably still 90%-plus are coming from organically.
Udi Mokady: It’s important to add that many of the new packages we introduced in the year actually include Idaptive components in them, like multi-factor authentication and single sign-on. So, it’s attached to many of the new logos.
Andrew Nowinski: Great. Thank you.
Operator: Your next question comes from the line of Tal Liani with Bank of America. Tal, your line is open.
Tal Liani: Hey, guys. I have a question about next quarter guidance. It seems like the revenues are under – just slightly under Street expectations and EPS as well, would you mind to give us the context of the accounting impact on the migration to SaaS? Maybe give us the context of ARR for next quarter just to make a comparison of like-for-like? Thanks.
Josh Siegel: Hi, Tal. Thanks for the question. I think from, you know really, if you’re talking about the accounting, we talked about the headwind as it relates to our SaaS and subscription rate. For the subscription side of the business, on-prem, term-based licenses, we’re looking at it going up between 50% upfront and for the new packages, it’s closer to 70%, 30% upfront and 70% pro rata over time. So – and on SaaS, obviously, it’s fully ratable so that goes in, obviously, into the headwind calculation for the guidance. And we’re pleased with the guidance to be able to, one, increase our anticipated subscription bookings mix and still really come in at what we anticipated on a revenue perspective for Q2.  So from that perspective, where it really supports and we think about it also from an annual basis, it really supports the fact that our pipeline is growing nicely, it’s actually – when you think about our subscription mix and the increased headwind for the quarter and for the full-year, we’re actually really raising our expectations for the business for the next nine months. So, we’re excited about what we’re able to guide to.
Tal Liani: And, Josh, is there a number like this quarter you gave the number of what’s the impact of accounting? Is there a number for next quarter?
Josh Siegel: For the headwind?
Tal Liani: Yes.
Josh Siegel: Yeah. The headwind is 10 – $9 million for Q2.
Tal Liani: Got it. Thanks.
Operator: Your next question comes from the line of Jonathan Ruykhaver with Baird. Jonathan, your line is open.
Jonathan Ruykhaver: Yeah, hi. Good morning. Hey, guys. So, last year you talked pretty consistently about strong pipeline growth, but you noted the challenges to deal sizes and also conversion rates, particularly within certain verticals. So, I’m just curious if you could comment on those dynamics entering 2021, where do you continue to potentially see challenges in the business?
Udi Mokady: Yeah. Hey, Jonathan. I would say, we’re seeing a return to normalcy on that front and the ability to – for us to – the pipe was building great and I think this quarter we also showed strong execution on that pipe. And that – and, I would say, that from close rate perspective, we could probably talk about record close rates in this quarter. And so, more and more signs of return to normal. And then, of course, the more opportunity for acceleration because we have a growing SaaS portfolio in a growing number of customers that we can take them through the SaaS journey in cross-sell.
Jonathan Ruykhaver: That’s good to hear. The follow-up I have is on DevSecOps and I’m wondering, Udi, how you see the growing influence of that center as a buyer of security impacting privileged? Is it really starting to highlight the need for what you do more than what you’ve seen in the past?
Udi Mokady: Yeah. I think this is probably one of the most strategic things we’ve – moves we made when we both organically and inorganically expanded and created the DevSecOps speedboat. There is no enterprise customer that doesn’t have – that movement happening. We’re on top of securing their human and putting human controls, they’re seeing the expansion of privilege in their application environment and the need to secure secrets. So, it’s a very strategic element. It was in many of our largest deals, included our DevSecOps solutions. And, I would say, it’s – it creates a great bridge for our customers to have an in-road to the developer side and the DevOps side. And so, our [CSO customers] are very pleased that they can build – they can bring this value to the developer audience and again keep them secure while making it very transparent for them to manage secrets.
Jonathan Ruykhaver: That’s great to hear. Thank you.
Udi Mokady: Thank you.
Operator: Your next question comes from the line of Josh Tilton. Please state your company name, Josh. Your line is open.
Josh Tilton: Yeah. This is Josh Tilton from Berenberg Capital Markets. Just two quick ones from me. I was hoping that you could comment on the pricing environment in Access Management over the last year. If I remember correctly, I believe Idaptive was using pricing as a differentiator. Have you been able to improve pricing at all since the acquisition?
Udi Mokady: I think – thanks, Josh. I think we’re taking a different approach. And, of course, as a stand-alone that was a differentiator for Idaptive. The differentiator now is very much the fact that – if we land and Access customer, we can take them on the full Identity Security journey and into PAM. And so, in some cases, the pricing change also because we’ve included it in new packages. And in general, we’re going to differentiate on value.
Josh Tilton: And just a follow-up on that. You mentioned, I believe you completed the integration of MSA with the Privilege portfolio. Do you guys have any indication of what percentage of customers are using PAM today without MSA? And also, what are you guys seeing as the uplift ASP if a PAM customer looks to implement MSA for that PAM product suite? Thanks.
Udi Mokady: I don’t think I have that fully handy here. But it’s a big part of – yes, there are customers that – or many customers were the MFA projects were taking too long. And when we come in with the opportunity to put MFA in front of PAM it’s a great landing spot for them to secure probably the most important access they have in the organization, and then an opportunity for us to expand to all users. So, it’s in a big – it’s a big opportunity within the customer base.
Josh Tilton: Thank you.
Operator: Your next question comes from the line of Jonathan Ho with William Blair. Jonathan, your line is open.
Jonathan Ho: Hi. Good morning. I just wanted to maybe start out with some of your commentary on the non-human opportunity. Can you talk a little bit about how big that market could be? And maybe, I guess, relative to the more traditional used cases, how big of an opportunity you see there?
Udi Mokady: Yeah. Thanks, Jonathan. I think in the past we’ve talked about the non-human opportunity being as big as the human side and I think every day that goes by is another shift left day for the world and technology. Applications are growing exponentially, no matter what industry it is. So cross-industry we see them becoming more and more software companies. And we have that great bridge of securing one of the most important elements in DevSecOps. But win-win, transparent to the developer and a good control point for the security professionals. So, we see that only becoming more and more critical. And that’s why we, of course, put it in the speedboat – a whole speedboat behind it because of this critical opportunity.
Jonathan Ho: Got it. And then just relative to the shift to subscription, are you mainly seeing this as an opportunity to replace existing solutions or is there a lot of greenfield opportunity that’s coming from this as well?
Udi Mokady: So, in terms of – there are multiple elements in the subscription transition, but if we talk about new logos, there are more and more types of organizations that are just happy to land in a SaaS delivery. And, like I mentioned earlier, we were pleasantly surprised that it’s continuously moving up the – up in terms of the type of enterprise. So, it gives us – from a new logo perspective, it gives us a way to bring greater time to – faster time to value for those customers and then bring them across the portfolio faster. In terms of conversions, of course, there are conversions of – even though it’s a small piece, there are conversions of customers to subscription. And when we do that, we again want to bring them value and to get them into a bigger piece of the portfolio. And so, that’s where the packages kick in, where they’re actually getting more value and getting better security because they get the right products in place.
Jonathan Ho: Thank you.
Operator: Your next question comes from the line of Alex Henderson with Needham & Company. Alex, your line is open.
Mike Cikos: Hi, team. You have Mike Cikos on the line here for Alex Henderson. I did want to follow up on this record pipeline that you guys have to see if you could give us maybe in order of magnitude or at least provide some additional color. I guess, with this model transition underway and the bigger push on subscription and higher adoption rates of SaaS, are you seeing, I guess, increased velocity in the sales cycles and customers moving quicker from the top of the funnel down to the final deal?
Udi Mokady: Yeah. Thanks. I would say, we still talk about a six- to nine-month sales cycle, but beginning to see the advantages and value, and like you’re talking about of customers of higher velocity when it comes to SaaS customers and their ability to get faster time to value and then faster adoption and our ability to push cross-sell faster. We’re not changing our kind of our six- to nine-month general approach, but we are very optimistic that this is one of the upsides of this transitions.
Josh Siegel: And I would add that, we’re seeing much better close rates going into the first quarter of this year. So that, Udi mentioned it before and I’ll mention it again, and when we think about the record pipeline, I’d also say what we like about it is that, it’s – first of all, going across all aspects of the pipeline, new customers, existing customers across each of the geographies and across each of the product lines that we’re talking about, whether it’s Privilege, Access or DevSecOps. And, of course, one of the other things that we’re tracking very closely is, is this supporting our transition goals and we’re really pleased to see the pipeline supporting the transition goals, meaning that we’re seeing record increases in our SaaS pipelines, as well as our subscription packages, including and especially our new subscription packages.
Operator: Your final question comes from the line of Erik Suppiger with JMP Securities. Erik, your line is open.
Erik Suppiger: Yeah. Thanks for squeezing me in. First off, your contribution from subscription bookings, I think it was 20% in the year-ago quarter and expanded to 51%. It seems like that’s moving very quickly. What will it take for you to accelerate your timeline for reaching that 70% to 80%? I think you suggested it would be 8 to 10 quarters out. So, what do you think the likelihood of that happening before the end of fiscal 2022? And then secondly, I think you had indicated that your headwind projected for Q2 is about $9 million, I think, it was $11 million in the March quarter here. Why will it be coming down in the June quarter from the March quarter?
Josh Siegel: Yeah. Thanks, Erik, for those questions. I’ll start with the second one. Basically, as we moved last year if you think about it on a year-on-year basis, we already started to – we started to see some increases last year between Q1 and Q2 on the percent subscription. So, you know that’s impacting the math. We look at – when we look at the headwind we look at it year-on-year. So, we’re not doing it from a cumulative perspective. We’re looking at it as, okay, we’re taking this year’s Q2 versus the scenario from Q2 a year ago and already Q2 a year ago, we started to have more subscription business on a natural basis. So that’s why we see a slight decline in the headwind, but we’re still supporting the strong revenue growth. With regard to your first question on moving in the goalposts, we’re real pleased where we started the first quarter because it really set us up well for being able to establish firmly that the transition is happening, that it’s certainly happening definitely within our original goalpost of 8 to 10 quarters. We’re able to move up a couple percentage points in Q1. We also were able to move up a couple percentage points already for Q2 and for the year. I think, you know Q1 is still one quarter of work, but we’ll see how Q2 goes, and we’ll be able to – I think based off for the first half of the year, really reevaluate again the full transition period. But I think in order to bring it in, we’ll want to see – we want to see how more than just one quarter behaves on the transition. But so far we like what we see.
Operator: This concludes our question-and-answer session. I will now turn the call back over to Udi Mokady for closing remarks.
Udi Mokady: Great. Thank you very much. I want to thank everyone who joined us today. I want to thank our customers, partners, and employees for contributing to our strong first quarter and supporting our transition to a subscription company. I am confident that as we execute our strategy, we will build even deeper relationship with our customers and partners. Again, thanks everybody for joining today.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.